Operator: Good day, and thank you for standing by. Welcome to the Carrefour Half Year 2025 Results Webcast and Conference Call. [Operator Instructions].  Please be advised that today's conference is being recorded. I would now like to turn the conference over to your first speaker today, Mr. Alexandre Bompard, Chairman and CEO. Please go ahead, sir.
Alexandre Bompard: Thank you. Good evening, everyone. Thank you for joining today's call to review our performance for the first half of 2025. As mentioned in our press release, the second quarter marks an acceleration in our markets and the good commercial performance in our 3 main geographies: France, Brazil and Spain. In Europe, several factors are supporting the recovery in consumption. After 2 challenging years, market dynamics are clearly improving as purchasing power is up, supported by rising wages and lower inflation. This is a sign of a developing on more supportive trend with volumes improving. We believe this positive momentum will persist for the second half of the year. In France, we posted positive like-for-like sales across all formats in the second quarter, a first since 2023 and the end of hyperinflation. Our rebound in price competitiveness is recognized by customers, as we gained market share in both volume and value. Recurring operating income rose by 20% with operating margin, excluding Cora & Match, up to 1.9%. Spain showed the same positive momentum. Q2 was the third consecutive quarter of sales growth with an acceleration versus Q1. We improved our recurring operating income by plus 9.4%, driven by food retail and supported by a rebound in financial services profitability. In Brazil, the group delivered strong performance during key commercial moments, notably around the Easter season in April. Atacadão continues to gain traction despite high figures last year related to the consequences of [indiscernible] floods. We delivered another strong semester. Recurring operating income grew by plus 6.5% at constant exchange rate. Beyond the performance of our 3 core countries, the group is also advancing its strategic review in 2 main fronts. First, on capital allocation, we already took full control of Carrefour Brazil and sold a 7% stake in Carmila. Today, we announced that we have entered into exclusive negotiations with NewPrinces Group regarding the sale of all our operations in Italy. When we launched our strategic review in February, our objective was to drive the company forward with radicality. This operations comes in the right line with the strategy. Despite a successful turnaround between '20 and '22, we only had a marginal market position in Italy. Over the past 2 years, market conditions deteriorated and so did our financials. This planned transaction will contribute positively to Carrefour's financial profile, including improved profitability and recurring cash generation. Second, purchasing power and price positioning remain top priorities. And that's the rationale behind our new European purchasing alliance, Concordis, launched on July 7 with Cooperative. This new alliance builds on the experience of our European platforms, Eureka and CWT and reflects our ability to structure partnerships that are both efficient and inclusive. Concordis will enhance our price competitiveness by pulling volumes and offering a platform for price negotiation and international service sales with multinational FMCG brands. It will be fully operational for the 2026 negotiation and has an initial term of 6 years. Discussions are already underway with other potential retail partners in Europe. It's therefore a major project for the coming years. In parallel, our operational initiatives are delivering results. 400 new proximity stores were opened in Europe in H1, reinforcing our leadership in this format. Store conversions to lease management are progressing as planned. The integration of Cora & Match is also advancing well. Transformation costs impacted our H1 results by EUR 80 million as expected, but synergy target of EUR 130 million by 2027 are fully confirmed. We continue to build on our core strengths, Carrefour branded products, e-commerce GMV rose by 29% in Q2, driven strongly by Brazil and France. We delivered EUR 610 million in cost savings and are fully on track to meet our EUR 1.2 billion target for the full year. All in all, our first half results are partially blurred by the integration of Cora & Match, but they remain fully in line with our expectations. EBITDA is up 1%. Recurring operating income is stable at constant rate despite the temporary impact of integration costs. As discussed in February, net free cash flow is down, reflecting an expected normalization of working capital contribution after the hyperinflation period in Latin America and the consolidation of Cora & Match. On sustainability, we exceeded our CSR targets again, achieving a 107% score on our CSR index. We made significant progress on climate and plastic agreements with major industry partners that we named sustainability-linked business plans. Looking ahead, we are fully focused on the next steps of our strategic review, driven by the full engagement of our teams and close collaboration with the Board. The planned sale of our operations in Italy illustrates the way we intend to proceed with speed, discipline and a clear focus on value creation. We will keep you regularly informed as new decisions are made and milestones achieved. We are confident in our perspective for the second half of the year. We expect the positive market trends seen in Europe, especially in France and Spain to continue. In Brazil, we expect the business to be well oriented. In this context, we confirm our 2025 objectives, slight growth in EBITDA, recurring operating income and net free cash flow. We enter H2 with confidence, but also clarity and determination focused on what matters and ready to take bold decisions. One last word to tell you that the Board of Directors has decided to propose the renewal of my mandate at our group's next Annual General Meeting. I want to express my gratitude and pride at the opportunity to continue my mission at the helm of this great company. Over the past years, we have profoundly transformed Carrefour. We gained leadership positions in our core countries and strengthened our financial foundation. In a new environment that demands bold choices, my intention is to keep pushing to unlock the full value creation potential that Carrefour carries within. You can be certain that I will devote to this task all my energy and my passion for Carrefour. Thank you for your attention. I will now hand over to Matthieu for more detail on your financial performance.
Matthieu Malige: Thank you, Alexandre, and good afternoon to everyone. It's a pleasure to be with you to cover our H1 2025 financial results in detail. Let's start on Slide 9 of the presentation. As explained, we have seen a broad improvement in market trends in the food retail sector across most of our countries with a particularly clear acceleration on volumes in the second quarter in France and Europe, together with some growth in prices. That comes after several quarters of restoration of purchasing power, thanks to wage growth outpacing inflation. Moving to Slide 10 and like-for-like sales. Our top line increased by 3.7% on a comparable basis in H1 with a marked acceleration in Q2 at plus 4.4% versus 2.9% in Q1. I will detail performance by region in a minute.  Moving on to Slide 11 and more details on Q2 sales. Total sales for the quarter reached EUR 23.9 billion, increasing by 5.2% or by 10% at constant currency. Group like-for-like sales were up 4.4%. Expansion and M&A had a positive contribution of 5.5% over the quarter, mainly due to the consolidation of Cora & Match since July 1, 2024. Petrol contributed negatively for minus 0.9% and the calendar effect was a positive 1%, mainly reflecting the shift of Easter, which fell in April this year versus March last year. ForEx had an unfavorable impact on total sales growth of minus 4.8% over the quarter, essentially reflecting the depreciation of the Argentine peso and the Brazilian real against the euro. Moving to Slide 12. The recurring operating income for the group in H1 amounted to EUR 681 million or 1.6% of sales. It was down versus EUR 743 million and 1.8% last year. The first semester's recurring operating income is penalized by 2 effects. On one side, an exchange rate effect of minus EUR 62 million and the effect of the consolidation and integration of Cora & Match which represented a negative EUR 80 million over the first half of the year. Excluding these effects, recurring operating income would show growth in absolute terms and as a percentage of sales. Let's turn to Slide 13 with more details on the performance of France. Like-for-like sales increased by 2.1% in Q2 with all formats growing over the quarter, reflecting improved market conditions in the country and Carrefour's solid commercial performance. On a side note, nonfood sales were stable in Q2. Over the quarter, Carrefour continued to reinforce its price competitiveness with new waves of price decrease and the reshaping of its loyalty program, Le Club Carrefour. We notably strengthened our price leadership in fresh products. Market shares kept increasing in volume terms over the period, excluding Cora & Match. At the recurring operating income level, the impact of Cora & Match was a negative EUR 80 million, in line with the indications provided at the beginning of the year. The integration process is progressing per plan, and we confirm our objective of EUR 130 million of synergies by 2027. Excluding Cora & Match, the recurring operating income for the historical perimeter grew by a strong 20% in the first half of the year with a margin expansion of 34 basis points. This strong achievement is a confirmation that all the initiatives implemented in the frame of Carrefour 2026, namely on private labels, e-commerce, costs, franchise are making their way to the bottom line while allowing for further price decrease. Moving on to Slide 14 and our performance in Europe. We saw positive trends across our European markets in both volumes and value. This led to all countries accelerating like-for-like sales in Q2, driven by Spain, which showed a strong momentum. Italy and Belgium returned to growth, while Poland stabilized over the quarter. Recurring operating income for the semester was shaped around the strong performance of Spain, where recurring operating income grew by 9.4% year-on-year as well as solid improvements in Belgium and Italy. On the other hand, we saw ongoing competitive pressure in Poland. Overall, recurring operating income was stable in the European region in H1. Let's move to Slide 15 with a focus on Spain, where we continue to see a positive and dynamic market driven by both volumes and prices. We continue to invest in prices over the semester, which strengthened our competitive positioning against key competitors. This contributed to an accelerated like-for-like growth in sales in Q2 with a good performance of fresh products. We also saw momentum in nonfood sales at plus 3.1% like-for-like. In parallel, Spain continued to expand its footprint with 68 new convenience stores opened in the first half of the year. Another good news in H1 was the recovery of profitability for the Financial Services in Spain with a recurring operating income slightly up. Moving on to Latin America on Slide 16. Carrefour posted solid growth in Q2 2025 with like-for-like sales up 9.7%. Despite an uncertain consumption environment in Brazil due to high inflation and record levels of interest rates, we continue to perform well, with sales growing by 4.4% on a comparable basis, supported by Atacadão up 5.4% like-for-like. In the retail segment, food sales remained strong, growing at plus 7.6% like-for-like. This was notably driven by our new commercial strategy towards B2B customers. In the meantime, we stabilized sales at Sam's Club, and we continue to grow e-commerce business by 36% in Q2. Finally, Banco Carrefour continued to perform well. In Argentina, Carrefour delivered almost 39% year-on-year growth while increasing its market share, both in value and in volume. This performance was supported by ongoing growth of NPS in a context of decreasing inflation and volumes that remained negative in the market. In terms of profitability, we increased our recurring operating income by 2.5% at constant exchange rate in the region over H1. In Brazil, our profitability increased by 6.5% at constant exchange rate, led by solid profit growth at Atacadão and at Banco Carrefour. The published number for recurring operating income was affected by negative ForEx. Moving to the top part of our global P&L on Slide 17. As you see, all ratios are impacted by the consolidation and the integration of Cora & Match. If we exclude Cora & Match, you see the continuation of trends we had in the past. A decrease in gross margin rate of 12 basis points, reflecting price investments and more stores in franchise, a decrease in SG&A as a percentage of sales of 30 basis points, reflecting cost savings and switch to franchise. Operating margin increased by 10 basis points, excluding Cora & Match. Moving on to the bottom part of our P&L on Slide 18. Nonrecurring expenses increased to EUR 529 million, reflecting the impairment of Carrefour Italy for EUR 460 million. Reversely, we had lower restructuring costs in H1 versus last year. Our cost of debt remained stable. We reduced our other financial expenses versus last year, primarily on the back of high historicals from Argentina. As we said last year, H1 2024 was impacted by a strong negative ForEx effect following dividend distribution from Argentina and by a significant negative impact from the application of IAS 29. The normative tax rate increased over the semester, mainly due to the geographical mix of profits before taxes within the group. Bottom line, net income group share, excluding discontinued operations and exceptionals reached EUR 210 million compared to EUR 313 million in H1 last year. Excluding Cora & Match, it amounted to EUR 275 million. Now turning to net free cash flow on Slide 19. As expected, H1 net free cash flow is down versus last year on the back of the consolidation of Cora & Match, representing minus EUR 180 million, lower real estate asset rotation for minus EUR 81 million and lower contribution for working capital on high historicals, notably due to high inflation in Argentina in H1 2024. Let me highlight the key moving parts. EBITDA is up by EUR 21 million. Our financial result normalizes after a negative H1 2024 in Argentina, as I explained earlier. We reduced the cash out linked to restructuring plans. As expected, working capital had a lower contribution in H1 this year. It was impacted by the consolidation of Cora & Match on the negative side of the annual cycle for EUR 80 million. Besides, we faced high historicals in both Argentina, which experienced higher inflation last year for EUR 170 million and Brazil, which had an acceleration of sales last year following the flooding at Rio Grande do Sul for EUR 130 million. And finally, CapEx were slightly lower than H1 2024, which is primarily due to seasonal effects expected to reverse in H2. As we now systematically do, we provide on Slide 20, net free cash flow, excluding real estate CapEx and disposals. Carrefour generated net real estate proceeds of EUR 32 million in H1 2025, down from EUR 112 million in H1 2024, mainly due to a decrease of disposals. Excluding real estate, net free cash flow totaled minus EUR 2.1 billion in H1, down EUR 300 million versus last year. On Slide 21, we have highlighted the profile we expect for H2 and full year net free cash flow versus previous periods. For H2, we expect growth in EBITDA as we expect to benefit from the more supportive market environment and to maintain our good commercial and operational dynamics. Cora & Match shall not weigh on profits versus last year anymore in H2. We anticipate a stable financial result and much lower outflow on restructuring costs on high historicals in H2 2024. Working capital contribution should be closer to historicals in H2. CapEx should increase EBIT in H2, pointing to a stable amount for the full year. Last, our pipeline points to a higher level of real estate sale -- real estate asset disposals in the second semester after a low H1. So this points to a stronger net free cash flow in H2 versus historicals in line with our objective of slight growth in the full year 2025. Moving on to net debt on Slide 22. Net debt amounts to close to EUR 7 billion on June 30, 2025. It is up versus June last year, primarily due to the cash out for the acquisition of Cora & Match, which occurred on July 1, 2024, for EUR 1.1 billion. Net free cash flow over the last 12 months amounted to EUR 1.1 billion and covered dividend payments for EUR 826 million and share buybacks for EUR 258 million. A few words now on the refinancing of local debt in Brazil, as you can see on Slide 23. Following the acquisition of the minority shareholders of Carrefour Brazil, we decided to simplify our debt structure and refinance most of the EUR 1.5 billion of BRL-denominated debt. This local debt has variable and very high interest rates with the Selic rate at 15%. We intend to refinance this debt through a net investment from Carrefour Group, which will allow us to benefit from the group's lower cost of debt in euros. We expect that most of this refinancing shall be finalized by year-end with first steps starting soon. We believe that this refinancing could lead to a positive impact of around EUR 100 million on net income and net free cash flow on an annualized basis as soon as 2026, with a few benefits already in 2025. I will finish my presentation with a few words on the disposal of the Italian business that we announced today on Slide 24. Firstly, Italy is a highly competitive and fragmented market dominated by strong local players with increasing pressure from discounters. As you can see, Carrefour Italy accounts for around 4% of group sales. In 2024, the business posted negative recurring operating income and negative net free cash flow, confirming challenges despite recovery efforts. As you understand, divesting this activity will particularly improve the financial profile of the group going forward. The estimated net impact on the transaction on the group's treasury is minus EUR 240 million, taking into account Carrefour's financial contribution to support the transaction. We expect to close the operation by year-end 2025, pending regulatory approvals. On that note, I thank you for your attention. Alexandre and I, are now available to take your questions.
Operator: [Operator Instructions] And your first question today comes from the line of Monique Pollard from Citi.
Monique Pollard: Three, if I could. The first one was just about France. Obviously, like-for-likes have improved materially quarter-on-quarter with you making the point that the price investment is having a good effect, volumes up. Just wanting to understand whether you think you're outgrowing the market in France on an organic basis because also conscious that Slide 9, you show values and volumes up in the French market overall in the quarter. The second question I had was on Concordis, the new strategic buying alliance. I'm just wondering if you're able to help us quantify any potential margin expansion you could see from this strategic buying alliance going forward? Or more importantly, if you didn't intend to maybe see this as a margin expansion opportunity, but an ability to reinvest for pricing, just some sense of the savings you think that could be made over time, particularly as that buying alliance potentially expands? And then the third question was just some color on the regional contribution for the other European segment. So obviously, Spain doing well. I'm just wondering if Spain is still the most profitable region within Europe, ex France. And then on Italy, where you give the sort of the negative recurring operating income from that segment from last year. And you talk about that financial support that you're giving on the transaction. Can you just give a bit more detail as to what that financial support means?
Alexandre Bompard: Thank you for this area of question. I would start by France. You're right. We beat the market in terms of market share in the volume I would say, the last 18 months. You probably remember that for 1.5 years, we have decided to reinvest strongly in France with different type of mechanics of reinvestment in order to restore competitiveness. The good news, as we told you before, is that our customers have reacted very positively and very quickly to this price reinvestment. And for a year, we have beaten the market in terms of market share in volume. And we managed to do that, as you've seen in this release in improving our profitability, mainly thanks to high level of cost savings. The contribution of France in the EUR 610 million of cost savings is strong and to a series of strategic initiatives, including, of course, transfer of store to lease management, increased profitability from e-commerce and so on. So to sum it up, the objective, of course, is to continue to invest. That is what we have done in the first semester. We have conducted waves of price decrease, 3 waves of price decrease of 10%, new loyalty program with Le Club, 10% discount on fruit and vegetables and organic products and local decrease of prices. So that's what we have done in the first semester. We gained market share and the NPS is highly positive. And so that's the type of dynamic we were searching when we launched this reinvestment 18 years -- 18 months ago. Concerning Concordis, I don't think we have given any figures. But just a word on the way it is structured. As you know, the objective is to optimize negotiations with suppliers with 2 types of negotiation. On the one hand, free net price negotiation, on the other end, international service negotiation. Eureka and CWT will be service providers for the alliance and more precisely commission agents of the alliance. Through the alliance we have already with, our volumes reach [ EUR 100 billion ]. We have the objective to reach EUR 1.50 billion in the next years. We have already contact with partners. We are very convinced that it would reinforce our price competitiveness. Of course, we have very clear objectives, but we want to move and to continue to structure that. It will be operational in 2026. And of course, it's at minimum 6 years for this new Concordis alliance. Concerning your question on Europe, yes, Spain is both the most important and the most profitable country. We are very pleased with the dynamic in Spain, the dynamic of the market, positive inflation, positive volume and trading up, and the dynamic of our own performance, we have reinvested. We are a price maker, as you know, in Spain. We deliver market share increase in volume, and we are convinced that the second part of the year would confirm all these positive dynamics. Matthieu on Italy?
Matthieu Malige: Yes. So on Italy, to be very straightforward, so we make a capital injection of EUR 240 million to support the project of NewPrinces Group, and we will sell the company for an equity value of EUR 1. So all the assets, liabilities and performance of Carrefour Italy will exit the perimeter of the group. So in the press release, relating to this divestment, we have mentioned to you the recurring operating income of Italy last year, the net free cash flow of Italy last year in 2024. And so I think you can easily compute the impact on the group.
Monique Pollard: And is there any debt that's going to Italy that's coming out as a result of the disposal?
Matthieu Malige: It's marginal. It's -- again, the net impact is EUR 240 million.
Operator: We will now go to our next question. And our next question comes from the line of Rob Joyce from BNP Paribas.
Robert Joyce: I've got 3 or so. I guess just second half of the year now, looking at France, you mentioned you expect strong sales momentum to continue into the second half, and I'm assuming margin expansion. Can you just give us an idea what kind of sales growth you're anticipating for the second half of the year? And is that sort of 34 basis points of margin a realistic expectation for the second half in France ex Cora & Match? That's the first one. Is it easy to go one by one or...
Matthieu Malige: Go maybe for the other questions, Rob, and we'll see then.
Robert Joyce: Perfect. And then second one is just in terms of the guidance. So we're saying EBIT small up. Is that with Italy as discontinued in there? And also, could you help us understand what that means for EPS, which was down sort of 30% in the half? What are we expecting at that for the year? And then in terms of the working capital, actually, yes, working capital in the second half. Just intrigued where do we expect to see those sort of more positive inflows come from? It looks like in Brazil, for example, some of the factoring balances have been slowed in the period, a negative impact from some of the factoring over there. I'm just wondering if that's something you're going to continue to see drag now you're in full ownership. And then look, I'd just say the first -- the final one is just in terms of the refinancing in Brazil, taking debt in euros and having earnings in reais. Can you just comment on that? You commented a lot in the release about constant FX earnings and the drag from FX. I'm just wondering if having the debt in euros, but the earnings in foreign currency is creating trouble for the future.
Alexandre Bompard: Thank you. I will take the first one about France. The conviction is that the dynamic of the market would remain the same. There's a positive momentum. And we do think it would last in the second part of the year. At the same time, we are convinced about the fact that we are capable to continue to gain market share. We have the good dynamic, the good commercial dynamic, a very performant price positioning, several initiatives on offers. And all in all, we are convinced that we will continue to -- in the same pace of market share than we had in the past. So I would say profitability should keep improving on the comparable basis in H2. Of course, we don't precisely quantify, but the conviction we have is that we are capable to keep improving on the same basis than in H1.
Matthieu Malige: On your second question, Rob, so you are mentioning the -- what was the impact of Italy in the EBIT guidance. So we'll see when this is discontinued. We've not really taken that into account. So the guidance is confirmed on the same perimeter as we gave the guidance at the beginning of the year, so the entire perimeter of the group. And then we'll see depending on when the transaction occurs and how it impacts the numbers, it will have a marginal effect. Your third question relates to working capital in H2 and where the improvement should come from. So you see, first, the improvement will come from the EBITDA. So we have an expectation from a better -- an acceleration of EBITDA in the second half. I think that addresses to all geographies. Obviously, France has a strong underlying performance, but which has been lowered by the impact of Cora & Match. The Cora & Match will not be a drag on profit in H2 anymore. So we should see the full potential of our operations. Then restructuring costs, as we're showing in the presentation, will also be a positive. We had heavy restructuring costs that were cashed out in H2 last year, notably in France. So that should come mainly from France. Working cap should be mainly neutral in the second half of the year. We commented together and you analysts asked me questions on the very high level of the contribution of working capital to the net free cash flow in 2024. We were very clear that there were a number of one-offs, including Cora, including Argentina, including Brazil there. And so we said it was not a normalized level and that everyone should expect a much lower level in 2025. Here, it is no surprise, mainly an H1 effect, as you see and a more normal H2 and so that's the main drivers. Then your fourth question regards the refinancing of the BRL debt. So we'll have a flow of interest from the intragroup debt that we will put there. So that will be hedged because it's important for our P&L. So we always hedge our flows in the group. So that's part of our policy for the principal and the net investments that we'll be making in the country we normally don't hedge lease. So you're right, most of the debt of the group is in euros and then our profits come from different parts of the group. To minimize the impact, the net free cash flow from Brazil is limited over the past because we invest a lot in the country. So most of the net free cash flow of the group comes from euro-denominated countries. So I think the impact should be marginal.
Robert Joyce: Just one quick follow-up, sorry, on Italy. Are you going to be liable for any leases going forward? Is there any liabilities that remain?
Matthieu Malige: Sorry, the line was bad. Do you mind repeating, Rob?
Robert Joyce: Just a quick follow-up on Italy. I just -- any -- will you be liable for any of the leases going forward?
Matthieu Malige: Sorry, any leases, what...
Robert Joyce: The leases, the lease debt in Italy.
Matthieu Malige: Yes, this is part of the perimeter that is divested. So indeed, the IFRS 16 lease debt leaves with the perimeter.
Operator: And the next question comes from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Matthieu, I think the line was a bit poor -- sorry, this is -- 3 questions, and can I just follow up on what Rob was asking there, please? Just to start the follow-up, will there be any contingent leases, i.e., will they come back to you from NewPrinces Group somehow, if NewPrinces isn't able to honor the leases? Is there something there that we should think about? That's the first one, just to follow up on what Rob was asking. I couldn't hear the answer right at the end, sorry. And then 3 questions for me. I guess France margin is surprisingly robust. Particularly given very modest like-for-like in the first half, pretty much flat ex Cora & Match, obviously. Can you explain maybe just a bit more in terms of what are the big drivers? What are the meaningful drivers and why you think that's actually sustainable into second half, again, ex Cora & Match basis? And on France, again, can you give us an update on where we are with the franchisee litigation process, please? That seems to be making its way. And finally, I think, Matthieu, you referred to pipeline of potential real estate disposals in the second half. If you have visibility, are you able to just help us in terms of what we should be expecting for the full year or second half?
Matthieu Malige: So I'm not really sure I get this question on Italy. So Italy has leases. They lease a very high number of their stores. So it's really the Italian business, which has the benefit and the liability associated to leasing these sites. And so as part of the divestment, we are divesting the Italian business, the Italian company that we have in Italy. And so all the lease commitments and liabilities that are relating to this Italian business will go with the business and will become the responsibility of the new owner. Is that clear, Sreedhar...
Sreedhar Mahamkali: Absolutely. No, there have been situations where the leases ultimately came back to the sort of previous owner. And that's why I think there's a bit of a clarification.
Matthieu Malige: No, that's not the way we run our operations. We run our operations on a very decentralized basis. So each country is responsible for its own operations, and there is no parent guarantee or that kind of thing when we sign leases. So they will all become the responsibility of the new owner.
Alexandre Bompard: Sreedhar, [Foreign Language] on your questions about the profitability in France, we are pleased that you measure that the increase of the margin is very high. Just to avoid paraphrasing exactly what I told before, it's the result of a series of actions that you know very well. And of course, the magnitude of the price reinvestment and the fact that it's a complete reinvestment both in permanent price in new loyalty program and so on. Huge cost savings initiatives, stronger than expected and all the strategic initiatives contribute to that, e-commerce, retail media, transfer to lease management and the positive trajectory in volumes and price, obviously, the performance. If we try to take one step back, I would say that all the actions we've taken in recent years to protect our performance in France during challenging periods, are now turning into growth drivers as market conditions improve. That's what our model is built for to improve profitability in downtowns and to unlock additional performance when the environment becomes more supportive. And that's what happened in the first semester in France. On your question on convenience and franchise, maybe if you authorize me one word, it's an incredible semester from convenience and franchise. Therefore, in France, the record level of stores opened, the fact to have attracted 2 master franchisee with 100 stores. We have never known, never so many applicants for new stores. So the dynamic in terms of capability to attract new franchisees to open stores, to gain market share is really incredible. And the figures is clear, plus 7.4% like-for-like in Q2 for convenience. Concerning the franchise discussion on dispute we can have with some franchisees, my priority is always to reach agreements with all our franchisees. I don't like having one franchisee which is not happy. We have 6,000 franchisees. So it's not so easy to have only happy franchisee. We managed to find agreements with some of them. And it's positive, and we still have discussion and dispute with a tiny number of them. Nothing new on that. There has been a technical decision purely technical. Nothing on the merits. And we do think that on this aspect, nothing would happen before the second part of 2026. But my objective before that is to have reduced at the minimum the number of franchisees we don't have any agreement. And I see some of them that join us want to find agreements, and we are always open to that because I want them to be happy. When they are happy, they open a second store, first store and this is the type of dynamic we are looking for.
Matthieu Malige: On your last question, Sreedhar, which relates to the rotation of our real estate assets. So we should have more divestments in the second half. We've had a relatively low H1, which impacts the net free cash flow performance. But H2 should be stronger and stronger than H2 last year, pointing to a year, I don't know if that was clear in Page 21 of the presentation, where the contribution from real estate disposals should be lower to equivalent to what we did last year.
Operator: And the next question comes from the line of Francois Digard from Kepler Cheuvreux.
François Digard: Three, if I may. The first is about Cora & Match. I'm not clear if we are talking about a net negative contribution or simply the isolated integration costs. So are you in the amount you communicate, including the positive revenues, the positive profits from the ongoing business there? That's my first question. Second one about Italy. I understand that you are selling everything. Can you quantify the real estate value, if any, that is disposed on the amount of IFRS debt that you are getting rid of? And third question, you recently signed with Vusion about electronic labeling in France. What kind of level of savings do you expect from such a new provider?
Matthieu Malige: Thank you very much, Francois. So on Cora & Match, so the impact of both the consolidation and the integration is a negative EUR 80 million. You will find in the presentation probably in the appendix that the implementation costs, I mean, OpEx amounted to EUR 50 million over the quarter -- over the semester, sorry, meaning that the underlying performance was a negative EUR 30 million on the Cora & Match perimeter. The business has much lower performance in H1 and a much stronger performance in H2. So that -- this is what's behind the number. On Italy, I don't have a specific number on the assets and liabilities that have been disposed, but we take the point and see how we can get back to you all on that, if that's an important point. And on Vusion, Alexandre?
Alexandre Bompard: On Vusion, as you probably know them and they are very performant, they are the preferred partner on electronic level of Walmart. We have discussed a lot with them on how they could help us to digitalize our operations and improve the quality of the management of our stock and the dynamic of our pricing. We have implemented 2 tests in our stores. We are very pleased with the first element that give us real positive points to implement that at scale. But of course, we have to find a good way to finance it. But it's really very interesting. It's really one aspect of our AI plan and on our digital plan is to find new tools, not to have only one test and experience, but to scale up and to accelerate the quality of our operation to streamline our operations and Vusion could be a very good partner. So we are very enthusiastic about the first results of the initiatives we have implemented a few weeks ago.
François Digard: If we could come back a minute on Cora & Match. You said, Matthieu, I think, implementation cost of EUR 50 million. And you said earlier that there will be none in H2. So finally, it is less costly than expected because I had in mind something like EUR 100 million for the year.
Matthieu Malige: No. So we -- I think that's Page 26 of the presentation, Francois. So no, we said we would spend EUR 100 million of OpEx in 2025. So this number is confirmed. We said that a majority of this cost should occur in H1 and it's not the case. It's EUR 50 million. And so we expect another EUR 50 million to occur in the second half of the year. So we will stick to the EUR 100 million for 2025. But the spending of this one-off cost will be more balanced between H1 and H2 than we had anticipated earlier in the year.
François Digard: Okay. But -- and you will have profits from the underlying activity in H2 that you had not in H1?
Matthieu Malige: Exactly. And so the underlying activity has like Carrefour, like probably any food retailer has a much better operating profit in the second half of the year versus the first one.
Operator: We will now go to the next question. And your next question comes from the line of Frederick Wild from Jefferies.
Frederick Wild: I'm afraid I've got 3 as well. First of all, on the margin expansion you expect in half 2, if I read the slides right, you saw about a 20 bps expansion in underlying margin ex FX and ex Cora & Match in half 1. Is that a good guide for the second half for the group as a whole? Or can it accelerate beyond that plus 20 bps? Then secondly, I think, you described Brazil in half 2 as being well orientated. Could you help us understand what this means, please? Has the consumer stabilized there? Or is there more risk from some of that negative news flow we've been hearing out of Brazil? And finally, just on the bigger picture, I suppose it's a little bit cheeky to ask, how far do you think there is to go on the strategic plan? Do you see it as being nearly done? You've obviously announced a raft of things over the last 6 months. Can we expect a similar sort of intensity of news flow, all pretty positive, of course, over the second half and beyond?
Matthieu Malige: Fred, thank you for your question. Do you mind repeating your second one, which was not very clear. Sorry for that.
Frederick Wild: Apologies. It was on the Brazil consumer. So when you were talking about the half 2 outlook that you expect the trends to continue, especially in France and Spain, you described your expectations for Brazil as being well orientated. And I just want a bit more help understanding what that means in the context of quite some concerns over the Brazilian consumer at the moment.
Matthieu Malige: Thank you very much. Very clear. So first question on the margin expansion. So we're not going to guide. We have a guidance for the profit for the year, it's been confirmed on the back of the good underlying dynamic against that doesn't exclude any deconsolidation effect from Italy. And so I don't think we're going to get into more detail on that one, sorry.
Alexandre Bompard: On Brazil, it's -- I would say there are some comps about the market. There is inflation, as you know, quite at a high level, which is positive for Atacadão. The interest rate is high, which is negative for the purchasing power of the customers. So all in all, I would say that the market -- the volume of the market is positive, but was not so dynamic in the first semester, particularly in the Q2, even if there were some comparable not favorable. So volume positive, but not highly positive. But we are very confident about the rest of the year, less by the market in itself, but by our own performance. We really see a very strong commercial performance of Atacadão. We gained market share. The B2B and the B2C activity of Atacadão is positive. Retail is -- so as you know, it's 75% of our activities in Brazil. And so when Atacadão is going well, Brazil is going well. Retail is more mixed, but generally positive. And Banco Carrefour is in a very good trend. So I would say that we have many elements to be positive for the H2 in Brazil in a slight volume market considering all the elements of this market. On your question about the strategic plan, I have to admit that our objective is to have many new announcements in the future. As I told you in February, we wanted and we have decided to be very active, dynamic, notable, radical in the way we approach our new strategic plan. As you've seen in less than a quarter, we have had many announcements, Carrefour Brazil, Carmila, Italy today. And of course, it would -- on reinforcement of CapEx in France, it would continue. The objective is really to continue to unlock the value where it is. To give the priority to the best assets to find partnership in other situations. And you can be sure that we would continue to move and to take bold decisions on many subjects.
Operator: The next question comes from the line of Rob Joyce from BNP Paribas.
Robert Joyce: Just 2 on sort of small areas of the accounts. The Argentina EBIT sort of halved in the half. I was wondering if you could help us understand what happened there and help us on the outlook? And the second one, similarly on the central cost, the global function looked to be down significantly in the half. Can you help us understand what happened there? And again, what we should think for the full year?
Matthieu Malige: Thank you, Rob. So you're right. The EBIT has been down in Argentina on the back of pressure on volumes in the market. The evolution of a number of politics over there has put pressure on purchasing power and the market has been experiencing some negative volume. So we're the price leader over there. So there was a strong sensitivity to price. So that puts Carrefour Argentina in a great situation to gain market share, and we've gained market share at an incredible pace. But still, there is a little bit of pressure on volumes. Then we have this hyperinflation accounting, which with very sharp changes in the trends of inflation can create a few technical effects. So I'm not going to give you an outlook for the year because obviously, the situation can be quite volatile on a number of fronts. I think the clear message is that the performance is good. That we're performing better than the market, and then there's a few technicalities. On central costs, it's mainly cost savings, which occur here. So they've been saved. A number of that was more H1 related. So we'll see what happened in the second half, but I think a portion of that was H1 related.
Alexandre Bompard: Thank you very much. [Foreign Language] see you very soon and have a very good summer season. Thank you.
Operator: Thank you. That concludes today's presentation. Thank you for participating. You may now disconnect.